Operator: Good morning, ladies and gentlemen, and welcome to the Elite Pharmaceuticals Second Quarter of Fiscal Year 2026 Conference Call. [Operator Instructions] Before management begins speaking, the conference has the following statement. Elite would like to remind the listeners that remarks made during this call may contain forward-looking statements that involve risks and uncertainties that are subject to change at any time, including, but not limited to, statement about Elite's expectations regarding forward operating results. Forward-looking statements are made pursuant to the safe harbor provisions of the federal securities laws and represent management's current expectations. Actual results may differ materially. Elite disclaims any obligation to update or revise its forward-looking statements, except as required by law. More complete information regarding forward-looking statements, risks and uncertainties can be found in the reports Elite files with the SEC, which is available on Elite's website at elitepharma.com under the Investor Relations section. Elite encourages you to review these documents carefully. With that covered, it is now my pleasure to turn the floor over to your host, Mr. Nasrat Hakim, President and Chief Executive Officer of Elite Pharmaceuticals. Sir, the floor is yours.
Nasrat Hakim: Thank you, Matthew, and good morning, ladies and gentlemen, and thank you for joining us today. My name is Nasrat Hakim. I am Elite's Chairman and CEO, and this is our earnings call. Our CFO, Carter Ward, will give you a summary of the company's financials, after which I'll give you an update and answer some of the questions you've submitted to Dianne. Carter, you are on.
Carter Ward: Thank you, Nasrat, and good morning, everybody. We filed our 10-Q last Friday. It was for the quarter ended September 30, 2025. That is the second quarter of our fiscal year ending March 31, 2026. And the 10-Q is available. If you haven't seen it yet, it's available at elitepharma.com under our Investor Relations section. So please take a look if you haven't already done so. As always, I'm going to go over the financials, provide some context, some color to the financial statements, and we received a bunch of questions since Friday over the weekend. Thank you very much for sending those questions. I always appreciate that as well. So I'll do my best to answer those questions as I go through my presentation. Let me start with the P&L. Our total revenues for the quarter September 2025 quarter was $36.3 million, and that's compared to $18.8 million for the September 2024 quarter. That's a $17.5 million or 92% increase. And then total revenues for the 6 months ended September 2025 were $76.5 million. You can compare that to $37.7 million for the 6 months ended September 2024. That's a $38.8 million increase or 103% increase. So the revenue rate has more than doubled over last year. Also note that our revenues for the entire fiscal year -- entire last fiscal year 2025 were $84 million. So in the first 6 months of this fiscal year, we are almost as much as the full 12 months of last year. And last year was a good year. Last year actually was our best ever. So I think pretty soon, I'll be saying that last year was our second best ever year. The increase is attributed to 2 main factors. These are the same factors that I mentioned in our last call back in August. First, the Elite label has become well established in our niche markets. The 2024 fiscal year, we're in 2026 fiscal year. The 2024 fiscal year is when we launched our Elite label, we were unknown then. That initial launch included our generic Adderall and a few other products. Now we've been in the market for those products for 2.5 years. We're a known entity. The product lines from that initial launch, they have a secure and growing market share and revenue streams. So Elite continues to distinguish ourselves as a reliable supplier of quality product. That's one of the -- that's contributed to our growth in revenues. The second main factor is the Lisdexamfetamine product line. That's Lisdexamfetamine is generic to Vyvanse. It's a very large market with high demand. That was not part of the initial launch from 2 years ago. And it was also not launched until the last quarter of last fiscal year. So that's earlier this year, March 2025 quarter, earlier this calendar year. So that's why Lisdex is not reflected in year-on-year numbers. September is the second quarter of our fiscal year. Lisdex wasn't launched until the middle of the fourth quarter of the last year. So this September quarter is only the third quarter of substantial commercial operations. So keep that in mind when comparing September '25 with September '24. 2025 has Lisdex, 2024 does not. So that's a big difference, a huge difference. Moving down the P&L, we had a gross profit of $14.1 million, compare that to $8.2 million for the September 2024 quarter. That's $5 million or 72% increase. Gross profit for the 6 months ended September of 2025 this year was $41.3 million. You can compare that to $16.7 million for the 6 months ended last September 2024. It's a $24.6 million increase or 148%, well more than double. So now I received a few questions on revenues, margins, quota and direct versus indirect sales. So I'll address all of those here because they're all very much related. So a few shareholders noticed that revenues were down from the June quarter, and they wanted to know if it was quota related. Well, the short answer is whenever you're selling controlled substances like generic Vyvanse and generic Adderall quota is always a factor, although what I'm going to say is probably not what the shareholder had in mind when he was saying the question. So -- but with regards to the September quarter, as compared to the June quarter, we've noticed an increase in quota for generic Vyvanse, which served to increase supply in the market. We also got quota. Result was that we increased our volumes, but we sold at lower prices as compared to prior periods. I mentioned this a few times in our last call in August, there's more than 10 suppliers that we compete with for generic Vyvanse and that creates downward pressure on prices. Whenever you increase supply, there's a downward pressure on your prices. This is typical generic business model with higher prices at first and they eventually stabilize. And that's what's happened with the generic Adderall, which we've been selling for years, and a similar track is being followed by the generic Vyvanse, which is still a relatively new product for us. We've seen stabilized price levels for quite a while now, but generic pharma is a very competitive business. So don't ever forget that. We don't. With regards to direct and indirect sales, let me first explain the difference between them. First of all, direct sales or when we sell directly to a pharmaceutical chain and that customer handles the complex supply chain logistics, ensuring that their retail locations are properly stocked. The logistics are complex. There is a high infrastructure investment that's required by the customer. Few customers do this, makes sense for them, but many do not. Indirect sales are when we sell to a customer, but this complex supply chain is handled by a third-party wholesaler such as the big 3, we call it Cardinal, McKesson or Cencora, everybody knows those names. The wholesaler has the infrastructure and the expertise to handle these complex and sophisticated supply chain requirements. quite a bit of investment is required to do that. And there's much greater volume and market share available through the indirect sales model, but at lower margins since the wholesaler, they charge for their services. So the takeaway here is that in order to achieve larger market share within a more stable and reliable business model, you will almost always end up with an indirect sales bias in your revenue streams. The customer wants not just a reliable supplier, which Elite is, we are definitely that, but they also have a complex supply chain that requires the resources and expertise of these large third-party wholesalers. So this is just how the generic market works in the U.S. And also, when you first stock up a new product with a wholesaler, like we did with Lisdex this quarter, there's onetime stocking fees that they charge you. And that results in higher COGS, cost of sales and lower margins. So that happened with Lisdex, and it is also a contributing factor to the lower margins as compared to the prior quarter, but those are onetime stocking fees. So we're past that now. Moving down the P&L. Our operating profits for the quarter ended September 30, 2025, were $8.2 million. You compare that to $4.7 million for the September 2024 quarter. It's a $4.7 million or 136% increase. The operating profits for the 6 months ended September of this year were $29.9 million, and you can compare that to $7.3 million for the 6 months ended September 30, 2024. Last year, that's a $22.5 million or 307% increase, both very substantial. Now to the cash flow statement. Operating cash flow for the 6 months ended September of 2025 this year was $19.9 million as compared to operating cash flow of $4.6 million for the 6 months ended last year, September 2024. That's a $15.3 million increase, 333% increase in operating cash flow. On to the balance sheet, which continues to strengthen. Working capital as of September 30 this year was $75 million. You can compare that to $46 million as of the beginning of this fiscal year, March 2025. That's a $29 million or 63% increase. I always like to drill a little further into the working capital, and you see the current assets increased from $58 million to $86 million, while current liabilities decreased from $11.8 million to $10.7 million. So current assets continue to increase with current liabilities decreasing. Assets gone up $28 million. liabilities have dropped by $1 million. This is not something we see that often, and it's happened several quarters in a row for us now. It's a very positive trend. But just know that liabilities can't decrease forever as you grow, just your accounts payable and things like that also grow. That's just how it works. So eventually, liability is going to hit some -- it's going to hit a floor at some point in time as we continue to grow. So they'll hit a floor as far as dollar value and go up in dollar value. But the thing to keep in mind, what's most important is the ratio between the assets and the liabilities. So as long as the growth in the current assets is greater than the growth in the current liabilities, that's what we want to see happen. That's the trend that's been always happening, and we expect that to continue, and our balance sheet will strengthen as that continues. The reduction in liabilities is not just limited to current liabilities. When I talk about working capital, I'm just talking about current liabilities, but we also have noncurrent liabilities. They are also reducing. So if you exclude the derivatives, the noncurrent liabilities were $5.2 million in September of this year. You can compare that to $5.6 million in June of 2025 and $5.8 million at March of 2025, beginning of the fiscal year. So we went from $5.8 million down to $5.2 million. The takeaway here is that Elite has low debt. And it's not just low debt, it's debt that continues to decrease while working capital increases. Both of these are hallmarks of a strong balance sheet, and we certainly have that. I got a few more questions over the weekend. going to add to my presentation here, and I'll like to address now. One of the questions was, please explain why the R&D expenses have declined. They were $1.4 million this year, September 25 for the quarter versus $2 million for the September 2024 quarter. Just know that R&D costs, they don't flow in a straight line, and they really depend on what we're doing at any point in time. Last year, 2024, we were in the final stages of getting the Lisdexamfetamine approval. There were more resources expended, more activities going on last year as compared to the most recent quarter, and we see how well that worked out when we launched the Lisdexamfetamine in January of 2025. So really, we're just talking about a timing difference here. R&D continues as always. It's just something that it's not a flat line type of expense. Some quarters will be more than others, especially when we are in the final stages of approval for a major product. Another question was discuss the increase in G&A, general and administrative costs. The G&A cost for September of this year -- this quarter, September 2025 was $4 million and against $2.3 million for September 2024. G&A cost for last quarter, the June 2025 quarter was also $3.4 million. So this quarter, we're even more than the June quarter. So the answer lies in 2 areas. First, sales administration and secondly, compliance. or let me talk about sales administration. With a business that has more than doubled in size, the back-end side of the business has become not just larger, but more complex. We're processing more purchase orders, more shipments, returns, collections, managing quotas, forecasts, et cetera, all of those types of back-end activities. That requires increased resources, both in-house and third party. We have third-party people that help us as well in this area, and that has costs. On the compliance side, rapid growth of Elite also creates complexities that require increased resources, and this is part of the G&A cost. We have registrations in all 50 states in Puerto Rico in order to do business there. And many, many of those states also require separate tax filings. So we have to comply with that as well. That takes consultants and in-house and third-party resources. We have to hire people in-house, plus there's a lot of consultants and subject matter experts in those areas, which are quite specific and specialized. And so the cost of compliance has risen with the size of the business. Another question is, what is the current headcount at Elite? Well, we have 65 employees currently. It's really amazing though, when you look at our results and our performance, having only 65 employees is quite remarkable. Last question. Inventory has fallen since last quarter. Does that signal a decrease in future demand? Very good question. The inventory was $19.4 million on June of this year, 2025. It's down $18.2 million in September 2025. That's a $1.2 million decrease. There is no signal here. This is more really just some timing differences. We have an arbitrary cutoff date, September 30. There are shipments that may have just been delivered to customers at that date, and we have a bunch of raw materials that are on the way, but not yet received. So the inventory goes down on the finished goods and the inventory not yet coming up on the raw material side of things, it's all just business as usual. It's really the ebbs and flows, nothing other than timing at the quarter date and no real signal there. So to sum up the financials, we had strong revenues, more than $36 million for the quarter. We have 6 months revenue of $76 million. Elite continues to perform well in the market. Margins are down due to generic market competition, but the balance sheet is strengthening. Cash flow is solid. Working capital is increasing and debt is decreasing. A really good trends and metrics. So halfway through our 2026 fiscal year, we are well on our pace for our best year ever. Our next quarterly report is due in February 2026, and I look forward to speaking with everybody then. Now I'd like to introduce our Chairman and CEO, Mr. Nasrat Hakim.
Nasrat Hakim: Thank you, Carter. It was another good quarter for Elite. Generic Vyvanse, generic Adderall, both IR and ER and Elite's new product launches all contributed to Elite's substantial growth compared to the previous year. Lisdexamfetamine, which is generic Vyvanse, a central nervous system stimulus used for the treatment of ADHD was launched early this year. And we have maintained an 8% market share according to our internal data. IQVIA have not caught up yet with our internal sales and marketing. We are at about 8% market shares. Lisdex is a big reason for why positive quarter and the previous quarter comparing to the previous quarter of the same year are so far apart. Last year, we would not have Lisdex and this year, we do. And that is an testament to our continuous growth. Comparing this quarter's sales of Lisdex to the previous quarter, we picked up volume as the market volume grew and the brand to generic conversion continues. And I could see that trend still goes on for a little while longer. Lisdex volume grew 6% this quarter compared to last quarter according to IQVIA. Price competition, though, did increase. And as Carter indicated, that's what led to the situation we're in. excellent financials, but doesn't compare to last quarter due to the factors that Carter just explained, and we talked about in the last actually meeting as well in August. When comparing our second quarter fiscal year to the most recent quarter, we see reduced revenues and profits from Lisdex. This is to be expected as we discussed. This is nothing to worry about. We expected this phenomenon. We expect this coming quarter to be as solid and things stabilize by now. For now, though, as I stated, the pricing for the next quarter should be steady, and we expect the generic market to continue to grow as the brand to generic conversion and as doctors start to prescribe it more because now it costs less as insurance companies start to accept it more. IQVIA shows Elite a market share of amphetamine IR averaging 19%. Compared to last quarter, actually, Elite even grew our volume of sales, maintaining very attractive margins. So in IR, we're a very small company compared to the competition, but we command 19% of amphetamine IR. For amphetamine ER, our market share is about 12% according to IQVIA. Elite target continues to have attractive margins. We're not selling at any prices. Kirko is looking for attractive margins and selling exclusively under our Elite label. Isladepine and trimipramine are smaller market, but each with only one other competitor. Each has a strong market share percentage-wise, and these products have high margins. Loxapine and phendimetrazine are also small markets with 2 competitors and good margins. For phendimetrazine, we command 30% of the market share. Naltrexone and phentermine are now being sold exclusively under the Elite label. Precision dose license for those products ended in September. Phentermine and naltrexone markets both have competitors that command about 90% of this market. We will target building sales under the Elite label for both, and we're doing very well already for naltrexone very well. Elite recently launched Oxy/APAP, Percocet, Hydro-APAP, NORCO, generic APAP with Codeine and Methotrexate. Each market has 2 to 4 primary competitors. Elite currently has a minor but growing share for each of these products. We are not aggressively pursuing these because they are high volume and low-profit products, and we do not want to prioritize them over the 3 main products I just spoke about, Lisdex, Amphetamine IR, Amphetamine ER. So we're staying in the market. We're continuing to get shares that suits our manufacturing needs and sales and marketing needs. And when we have larger capacity, we can be more aggressive with these products. We have a couple of in-process launches. We received approval for Ropinirole ER that we plan to launch in Q2 most likely. We're going to prepare for the launch in Q1. We'll end up launching end of Q1, early Q2. In addition we have methadone, a generic product that's already approved that we are planning on launching once we can prioritize it accordingly. Our partner, Dexcel in Israel launched Amphetamine IR. There is only one other competitor in Israel, and we expect this to be an attractive market. Good potential for other business opportunities with them. In our development pipeline, we continue to progress. We have right now pending under review after FDA review, Oxy ER, which is the generic for OxyContin. This is a Paragraph IV filing, and the patent lawsuit is on a stay right now. We have submitted our answer. We are waiting for Purdue and the court what to do next. This is as far as Elite is concerned. We're not talking about the lawsuit that was just settled with the Sackler family for $7-plus billion and now the states most likely will own Purdue. We're talking about the lawsuit as a Paragraph IV for Elite filed product. We responded to the courts. We wait for to see what Purdue and the court want to do, and we'll update you accordingly. We previously announced a successful BE study for an undisclosed anticoagulant generic. We expect to submit an ANDA for this product most likely in Q1 of next year. The brand has an unexpired patent listed in the Orange Book. And so commercialization of this generic product requires that we address the and expired patent. We'll determine our approach for this patent closer to the time of filing. We will definitely have to notify them, of course. We have other generic products in the pipeline that we'll update you on and announce once a material event occurs. As Carter indicated and I said at every single conference call, R&D continues to be a priority. Regarding merger and acquisition and uplisting, Elite continues to actively pursue M&A and other alternatives such as uplisting. M&A is our primary focus. As I indicated before, I gave the team until the end of the year to show me that this is a viable option. Well, it is looking like it is. We have had a company unsolicited asked to visit the site. The President and the -- of the U.S. division and the Global Head of Manufacturing requested a site visit, we granted it. We accommodated them, and that is concluded. Our consultant presented us with a list of companies that they approach. Several showed interest in M&A with Elite. I expect at least one of them to visit this year. Our primary focus is M&A for the foreseeable future. I get a lot of questions about that. We are focused on M&A. If we determine that that's not working, we'll consider other alternatives. To sum it up, Elite is executing its strategy of developing and filing new ANDAs, growing sales, supporting working capital growth, maintaining a strong cash position and Elite's stock price reflects the company's growth. Elite maintains a strong reputation of a dependable supplier. And that's going to help us tremendously when we launch new products because they see and have seen what we can do with controlled substances. We never overpromised. We've always delivered, and we established credibility. So now everything else that we launch in the future, we have already established a good reputation for companies to be with us on it. Lisdex is expected to continue as a key product for Elite with attractive margins. Amphetamine IR is a mature market, and we expect to defend our strong market share. For Amphetamine ER, we are targeting additional volume while maintaining pricing as our previous partner, Presco phases out. They still have some product that they're still selling. Elite has a history of robust growth for several years in a row now. I'm not going to recite the numbers from $7.5 million till today, where we're going to way go over $100 million this coming year. We're 2/3 of the way through, 75% of the way through. That is a huge achievement from $7.5 million to almost $75 million now in 2 quarters only. Elite is positioned as an attractive midsized generic pharmaceutical company with consistent profits, steady growth and a low debt. Our stock price remains strong, and we continue to evaluate M&A and other options. All right. Let's go to Q&A. Before that, let me say a word regarding Q&A. If you ask intelligent relevant questions, we will do our best to accommodate you. Buffoonery questions and comments will be ignored.
Nasrat Hakim: All right. Please provide an update on the pipeline and the status of the various drugs in the pipeline. Do you anticipate additional ANDAs to be filed by the end of this year or half of 2026? Are we still on target for the Q1 submission to the FDA of the $27 billion drug? That's the anticoagulant blood thinner. Is the anticoagulant product still planned to be filed in the first quarter of 2026? The answer is yes. And because there are a lot of questions of interest about this group of subjects, so let me combine them all together and start with R&D. Commercialization is the final stage of R&D, okay? So everything we have in the market at one time was an R&D product. Whether you buy it, acquire it, build it in-house, it's now the end stage of R&D. We have a very solid portfolio that you have seen how it took us from $7.5 million to where we are today. We have a couple of small products that are approved but have not launched yet, okay? So first, you have the products in the market, then you have the products that you're going to send to the market. Then we have OxyContin ER, which is under review by FDA. So now you have the pipeline populated by something the FDA is reviewing that's going to become in the market. Then we have the anticoagulant that test the and will be filed next year. It will be filed next year, Q1 or Q2, most likely Q1. And in addition to all of that, we also have generic formulations that are going to go into clinical trials, and that's what Carter was talking about. Sometimes the cost is very high because you have things that are happening at the same time and sometimes you're preparing for them. So sometimes the R&D cost is much higher than others because certain events have taken place. So the next step we had, we're going to go into clinical trials. Clinical trials cost a lot of money. And we have others that are in the early stage that have not reached the point of clinical trials. We are fully populated from early stage to clinical trials to already past clinical trials to already filed with FDA to already approved to already in the market. It doesn't get better than that. We are on solid grounds. Next set of questions is List ex capsules by Elite are doing very well. Is there any chance Elite will expand its product line to include Lisdex chewable tablets in the near future? Does Elite have the capability to manufacture chewable tablets? Okay, not today, but it's very easy to modify our equipment to do that. That is an excellent question, by the way, an excellent comment. I explored it before, and we decided to stick with Lisdex because it was where all the money and most of the money is. I will go back and take another look at this because we were actually looking at that at one time because not too many people are in it, but Lisdex is too huge for us to ignore the actual product and go after a little niche. It's something to take -- go back and revisit. Would there be any consideration to breaking off SequestOx into a separate subsidiary of Elite to potentially be sold off as a stand-alone. I don't think so. It would not add a lot of value. When are methadone and [indiscernible] launches planned? And honestly, I've already given the answer in my presentation, but I'll give you a more accurate answer. As soon as operations and sales and marketing make them priority. We have a lot of other priorities that are bringing more money. These products are in there. We're ready to launch them as soon as we get green light that operations think they can fit them in without impacting our main products and sales and marketing says people are screaming out for them. Is Elite considering purchasing any additional ANDAs like we did when we repurchased the stuff from Nordstrom? That's a very good question, actually, yes. This is one way for us to enhance the pipeline, and I'm always on the lookout. And it's not really an easy task to find the right fit for your company. And there are other ways to also do that, that I will not discuss today, but maybe we'll talk about in the future. It's a very good question. DEA quota. Could you please also speak about the increased quota for Lists as of September 25. Does Elite expect to capture some of the increased quota? If so, how much? We saw 2 articles involving the increase in quota for Adderall and Vyvanse in September and October by the DEA. Did Elite benefit from these quota increases? Yes. Does Elite expect to receive more quota given the recent limit increases on both Vyvanse and Adderall by the DEA? Or has Elite already received more? We have. So just to answer them all together, yes, that is true. The DEA relaxed their quota requirements. We received our allocated portion what we requested of our full quota this year without any issues. for all 3 products. That's the good news. The not so good news is that they are doing this with everybody else. So now everybody else has got them. I like it better when they were tight because we were experts at navigating through the DEA. I'll digress for a second and give you a real-life example of something that happened. We were looking for sales and marketing group to buy before we hired Kirko and about the time we were with Lannett. And we found a company in Florida that had the sales and marketing portion and they lost their products. So this is great, great fit. We have products one thing when I met with them, the product they could not sell was amphetamine. And when they said this was Adderall and they couldn't sell it, I immediately walked away and we hired Kirko. So one company went bankrupt because they could not get the quota to sell for Adderall and other company became a superstar because of the same issue. It's knowing how to navigate around regulatory agencies and your relationship in the industry. Question on legal, meaning SequestOx. Any update on the patent litigation for SequestOx? And then concerning generic OxyContin -- sorry, OxyER, SequestOx. Concerning generic OxyContin, on [ 9 2 25, ] Purdue filed a cross motion to extend the 30-day -- 30-month stay. When would that stay expire, if not extended, okay? So as to the first part, any update on patent litigation for Oxy ER, the answer is we really responded to the court, okay? We await Purdue and the court's decision, what are they going to do next? Is the court going to say, no, proceed with discovery? Are they going to narrow it? Whatever happens, we will hear about it. And once we do, we'll make it public. I don't know what will happen with the [indiscernible] stay. Now that the court ruled just a couple of days ago that the Sackler family is no longer in charge, they accepted the settlement for $7-point-some billion. Now the government is going to take charge of Purdue, and they're going to be in charge of OxyContin. Are they going to open the door for all the generic companies to get in? Or are they going to insist on 3Month stay? I don't know. This is an uncharted territory. I've never seen the government take over a company before in the pharmaceuticals. So we'll see what they're going to do. If they do away with it, then everybody gets in. If they don't, we'll all have to wait 3 months. Potential sale of the company. All right. Questions on potential sale of the company. On the merger and acquisition front, was the company valuation done? Listen, yes, any consulting firm task to selling a company will do evaluation to establish a range for many reasons, including knowing who to approach to buy the company. They need to know who has the balance sheet to buy the company without looking at the company and seeing what you're worth, they cannot do that. This is one of many reasons. But they never tell you you're worth X. It's always a range, you worth between X and Y. Has the M&A firm identified potential buyers? Yes, several. Has Elite received any offers to sell the company? We are not at that stage yet. What is the current impact of SequestOx technology and IP on ELTP's valuation as it pertains to the potential sale of ELTP? It doesn't really contribute that much because we are being evaluated on our profits and revenues, okay? This will be the sexy stuff. The fact that we have low debt is a huge thing. The fact that we have the our technology. these are extra factors. But the main driver is how much profit do you have and how much revenues, what's your pipeline and what's your R&D status. 20 years ago, 15 years ago, 10 years ago, our technology [indiscernible] was really sexy. Today, it's not as sexy. Can you share any information on valuation done on the lead by a third party? No. That is counterproductive. So again, if somebody and the company does, they'll say your company is worth between X and Y. If I make that public, I am doing you and the company this service because somebody who signed to buy us that uses different model will immediately revert to the model that produces the least amount of money and they start negotiating from the lowest number down. This information is confidential for a reason. We keep it confidential because we don't want anybody to know because there are multiple ways of calculating the value of a company. If you calculate it on a [ PE ] of 20, okay, you will get a different number than going EBITDA times 12. And both of them are valid ways to evaluate the company. there are other factors that come into that. So no, we cannot share that. Is uplifting the more likely scenario now? No. We are preparing for all contingencies. M&A is still in the lead. A question about the facilities. Can you please give us an update on retrofitting the old packaging space with the new manufacturing suit? Has any manufacturing space been designated for a pilot scale manufacturing suite? We already have a pilot scale facility in building 165, so we don't need to do that, okay? The space for the old packaging line will be utilized for encapsulators, among other things. But to that end, the new packaging line and the old packaging line in the new facility are working out very well. Packaging and sales and marketing are the 2 parts of the business that I am comfortable they'll serve us for years to come from the standpoint of expansion, okay? The packaging line is fully functional, sufficient for our needs and ready to support us for years to come. That was the last question. That concludes our conference call for today. We'll talk to you again in February. Thank you all, and thank you, Matthew.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.